Satoshi Yamahata: Now I'd like to start a briefing on the first quarter results. Please turn to Page 1 of the presentation for the highlights. Although the demand for entry-level models continue to decline and the recovery in the Chinese market was slow, the revenue increased a little, partly due to the positive impact of exchange rates. 
 The core operating profit decreased due to the deteriorated model mix with the sales decline of the digital pianos, especially the entry models and the production adjustment of the pianos in China. 
 As for the full year forecast, we revised the core operating profit forecast downward due to the factors such as the lowered digital piano sales caused by the worsening market, we revised the real-term revenue forecast downward, which excludes the impact of exchange rates. In addition, due to the production cutbacks that deteriorates the factory P&L, we revised the core operating profit forecast downward. 
 Please turn to Page 3. Here are the actual results of the first quarter. The revenue was JPY 106.2 billion. The core operating profit was JPY 6.7 billion. The profit ratio was 6.3%, dropped from a year ago level and the net profit was JPY 6.7 billion. We achieved a year-on-year increase in the revenue. But as shown at the bottom, when the exchange rate impact was excluded, it was actually a decline by 3.3%. Moreover, the net profit decreased by JPY 1.9 billion. 
 Page 4 shows the core operating profit analysis in a year-on-year comparison. The impact of exchange rates was positive. And since the ocean freight charges have fallen, it was also positive. However, the energy prices and the procurement costs are continually rising. Of course, we're trying to pass them on through the price optimization. But due to the decrease in sales and production and model mix, there was a net negative impact of JPY 3.4 billion. Furthermore, as various business activities resumed with the reopening, the SG&A cost increased. 
 Page 5 shows the results of each segment. The Musical Instruments revenue was JPY 72.2 billion and the core operating profit was JPY 4.9 billion, although the exchange rate impact was positive, both the revenue and profit declined year-on-year due to the tough business conditions in the first quarter. 
 The Audio Equipment revenue was JPY 24.1 billion and the core operating profit was JPY 0.1 billion. With the recovery of product supply, this segment achieved increase in both the revenue and profit. 
 The Industrial Machinery Components, IMC Business and Others achieved flat growth from the previous year. 
 Next, please turn to Page 6. Here is the full year outlook. The expected revenue is JPY 470 billion and the core operating profit is JPY 50 billion. In fact, it was originally JPY 56 billion, but we revised it down to JPY 50 billion this time. The expected core operating profit ratio is 10.6%, and the net profit is JPY 38.5 billion. 
 Page 7 shows how the expected profit of JPY 50 billion is compared against the previous year's profit of JPY 45.9 billion. The exchange rate impact would be positive, but various costs are rising. Meanwhile, the ocean freight charges have fallen significantly, so it would be positive to the profit by JPY 7 billion. Various cost rises are offset by the price optimization and the actual sales and production are expected to increase. So that would be another boost of JPY 5 billion. However, the SG&A, which is including the impact of acquiring Cordoba, will increase by JPY 5.7 billion. 
 Moreover, the IMC Business and Others would push down the profit by JPY 1.2 billion. This is because of the golf business that peaked out after enjoying a big boom in the previous year. And the factory automation equipment business that is now struggling due to the severe end market conditions for the mobile phones. 
 In a comparison against the previous forecast, the decrease in sales of production model mix and price optimization is most significant, dragging down the forecast by JPY 9.9 billion. So the profit is now expected to be JPY 50 billion.
 Page 8 shows the forecast by each business segment. As you can see, the Musical Instruments is expected to achieve an increase in the revenue and profit and is likewise for the Audio Equipment. As for IMC Business and Others, due to the negative impact of FA and Golf, we are expecting a decline in both the revenue and profit. 
 Page 10 and on are the details of each segment. First, the Musical Instruments in the first quarter saw the revenue decline as the digital piano sales dropped. The piano sales increased from a year ago when China was in a lockdown. The digital musical instrument sales declined due to a decrease in the digital piano sales with the falling demand for entry models. The wind, string and percussion instruments demand has been very robust, but the sales could not be a record high achieved a year ago. The Guitar sales rose as electric guitar demand remained strong and Cordoba was added into the group. 
 As for the full year, we're expecting the sales to rise in all the regions. The piano sales are expected to increase year-on-year, although the recovery in China is low. The digital musical instrument sales would be on par with the previous year due to the slow recovery from entry models. The wind, string and percussion instrument sales will rise, driven by the firm Brass Band demand, and the Guitar sales will also rise with the addition of Cordoba. The figures are as shown here in the chart. The segment revenue in the first quarter dropped 5% year-on-year, but we expect it to increase by 4% in the full year. 
 Page 11 shows the revenue by major product categories. The pianos increased by 5% in the first quarter, and it is expected to increase by 7% full year. However, it does not imply that the performances are very good. As you can see, the previous year's growth was negative at 16% drop year-on-year as we struggled so much. So this year's growth is a recovery from that level. 
 As for the digital musical instruments, we saw a 17% drop in the first quarter and expect 1% growth for the full year. Again, this is due to the struggling digital pianos and we are afraid we cannot achieve much growth throughout the year. The wind, strings, and percussion instruments declined by 5% in the first quarter. In the previous year's first quarter, we achieved a remarkable 31% growth. So we fell short of that level, but we are still expecting to achieve 2% growth for the full year. The Guitars, including Cordoba Music, achieved 7% growth in the first quarter, and it is expected to achieve 21% growth for the full year. 
 Page 12 shows the regional sales breakdown. Japan was flat year-on-year in the first quarter, and we expect 1% growth for the full year. North America struggled very much during the first quarter, mainly due to the sluggish digital pianos. The sales dropped 21% in Q1, but it will be flat for the full year. Europe is similar, down 7% in Q1, but up 7% for the full year. China saw an increase of 21% in the first quarter and will be up by 12% for the full year. Again, this is because China struggled very much in the previous year. So we are expecting a recovery from that level. Other regions sales dropped 9% in the first quarter, but we expect 4% growth for the full year. 
 Next, please turn to Page 13 for the Audio Equipment segment details. In the first quarter, boosted by the healthy B2B demand, we achieved a revenue increase. The sales of consumer products declined due to a sluggish demand. The B2B sales increased due to the brisk demand in the entertainment and installation markets. As for the full year, since the supply issues are resolved, we expect the revenue to increase. In the Consumer Products business, the demand recovery has been very slow, but the sales are expected to surpass the previous year. 
 The B2B business is expected to achieve good growth with robust demand and the effect of new EPA products. The segment revenue increased by 3% in the first quarter, and it is expected to increase by 5% for the full year. 
 Now Page 14 shows the sales breakdown of Audio Equipment by major product categories. The consumer products struggled very much in the first quarter, falling 16% year-on-year, but we are expecting a 5% increase for the full year. The B2B products have been doing well. Q1 growth was 22%, and the full year growth is likely to be 6%. 
 Per each region, Japan in the first quarter was up 3%. However, for the full year, we anticipate 6% decline because in the previous year, the network products and installation services were doing sportively well, and we think we would fall short of that level. In North America, the sales were down 7% in Q1, but will be up 10% for the full year. In Europe, it was up 9% in the Q1 and will be up 12% for the full year with a good recovery. 
 In China, the B2B audio equipment market is not growing as much as we had hoped. So we are anticipating 9% drop year-on-year. In the other regions, the first quarter was up 9% and the full year is expected to be up 8%. 
 Please turn to Page 16 for the IMC business and the others. During the first quarter, the sales of automotive sound systems and automobile interior wood components rose sharply. However, FA equipment and Golf products saw a steep decline. For the full year, we are expecting the automotive sound systems to achieve further growth. However, as the special demand for the Golf products peaked out, the sales would decline. The segment revenue declined 3% in the first quarter and is expected to decline 2% for the full year.
 Moving on to Page 18. I'd like to show you the balance sheet summary. As of the end of June, the total assets were JPY 624.7 billion, and the total equity was JPY 475.4 billion, both of which increased since the end of March 2023. 
 The inventories rose JPY 13 billion again, because even though we were adjusting and reducing the production volume, it was natural to see a little rise during the period due to the seasonality. In addition to that, those mid-range and high-end products that we had trouble supply in previously resumed the factory shipment, so the inventory at the sales subsidiaries increased a little, too. 
 There are still some areas of production that's continually adjusted, but overall, the inventories increased from the previous quarter end. As for the estimate at the end of March 2024, the total assets are JPY 636 billion, and the total equity is JPY 488.5 billion. The inventories should be lower to JPY 136 billion. 
 Page 19 shows the capital expenditure and R&D expenses. All of these full year projections are the same as the ones we presented before. Let me also briefly touch on some of the topics. 
 Please turn to Page 21. Develop closer ties with the customers has been one of the key themes in our midterm management plan, and I'd like to refer to some of the relevant activities. As shown on the left, to seek hybrid value appeal and enhancement of product value, we have been promoting and providing lesson services bundled with the products. As in the middle, to develop closer ties with the customers, we set up a local subsidiary in the Philippines and began to prepare for the operations on a full scale.
 Moreover, in fact, our electric guitars are doing very well. We did a proactive collaboration with a popular animation along with some media mix and social media campaigns to leverage it further. So as to expand the business domain, we focused on the automotive sound system. Due recently, our system was mainly adopted by Chinese automobile manufacturers only, but we are happy to report that it is now officially adopted by Mitsubishi Motors Corporation as well. 
 Moving on to Page 22, so as to create new value, we have developed and launched products with distinctive individuality. Especially this digital mixer, DM3 has been very popular, and it is one of the major products driving the growth of the B2B products in the Audio Equipment segment. 
 Furthermore, we launched the online music performance service, SYNCROOM in Korea, so as to expand the service coverage. 
 The one on the right shows our effort to set sustainability as a source of value. So as to expand the market through the promotion of music culture, we have been engaged in school projects to enhance instrumental music education, and they have grown steadily. Now in India, the pilot program started at 8 local public schools. 
 Finally, as shown on Page 23, in an effort to enhance the governance, we launched a new board structure from June with the appointment of a new female director, Ms. Naho Ebata. Now 2 out of 8 directors of the Board are women. We have been very serious about realizing general diversity so we improved the composition of the Board members. 
 Moreover, the Chairperson of Nominating Committee and Compensation Committee used to be Mr. Nakata, but the roles are now replaced by outside directors. 
 With this, all the chairpersons of nominating compensation and audit committees are outside directors. So we believe it would help to improve our governance. 
 It was a very quick overview, but that is all from me. Thank you. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]